Operator: Welcome to the HEICO Corporation Second Quarter and Full Year Fiscal 2022 Financial Results Call. My name is Patricia, and I will be the conference operator for today's call. Certain statements in today's call will constitute forward-looking statements, which are subject to risks, uncertainties and contingencies. HEICO's actual results may differ materially from those expressed or implied by those forward-looking statements as a result of factors, including the severity, magnitude and duration of the pandemic, HEICO's liquidity and the amount and timing of cash generation; lower commercial air travel caused by the pandemic and its aftermath; airline fleet changes or airline purchasing decisions, which could cause lower demand for our goods and services; product specification costs and requirements, which could cause an increase to our cost to complete contracts; governmental and regulatory demands, export policies and restrictions; reductions in defense fees or homeland security spending by U.S. and our foreign customers or competition from existing and new competitors, which could reduce our sales our ability to introduce new products and services at profitable pricing levels, which could reduce our sales or sales growth; product development or manufacturing difficulties, which could increase our product development and manufacturing costs and the lease sales; our ability to make acquisitions and achieve operating synergies from acquired businesses; customer credit risk, interest, foreign currency exchange and income tax rates; economic conditions, including the effect of inflation within and outside the aviation, defense, space, medical, telecommunications and electronics industries, which could negatively impact our cost; and revenue and defense spending budget cuts, which could reduce our defense-related revenue. Parties listening to this call are encouraged to review all of HEICO's filings with the Securities and Exchange Commission, including, but not limited to, filings on Form 10-K, Form 10-Q and Form 8-K. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by the applicable law. As we begin the call, now I turn the call over to Laurans Mendelson, HEICO's Chairman and Chief Executive Officer. Please go ahead, sir.
Laurans Mendelson: Thank you very much and good morning to everyone on this call. Thank you for joining us and we welcome you to this HEICO second quarter fiscal 2022 earnings announcement teleconference. I'm Larry Mendelson, Chairman and CEO of HEICO Corporation; and I'm joined here this morning by Eric Mendelson, HEICO's Co-President and President of HEICO's Flight Support Group; Victor Mendelson, HEICO's Co-President and President of HEICO's Electronic Technologies Group; and Carlos Macau, our Executive Vice President and CFO. Before reviewing our operating results in detail, I would like to take a few minutes to thank all of HEICO's talented team members for delivering another outstanding quarter. Your dedication to our customers and operational excellence has translated into superior results for the shareholders. I am truly delighted by the positive trends in our aerospace business, and I am optimistic that these favorable trends will continue during the remainder of fiscal 2022. I will summarize the highlights of our second quarter fiscal 2022 record results. Consolidated second quarter and first six months of fiscal 2022 operating income represents record results for HEICO and that was driven principally by record operating income within the Flight Support Group, mainly arising from a continued rebound in demand for our commercial aerospace products and services. Consolidated operating income and net sales in the second quarter of fiscal 2022 improved 27% and 15% respectively as compared to the second quarter of fiscal 2021. These results mainly reflect a 9% quarterly consolidated organic net sales growth and the favorable impact from our fiscal 2021 and 2022 acquisitions.  Consolidated operating margin improved to 22.8% in the second quarter of fiscal 2022. And that was up from 20.7% in the second quarter of fiscal 2021. And it improved to 21.5% in the first six months of fiscal 2022. And that was up from 20% in the first six months of fiscal 2021. The Flight Support Group reported quarterly increases of 87% and 33% in operating income and net sales respectively, as compared to the second quarter of fiscal 2022. These results principally reflect strong 31% quarterly organic growth for commercial aerospace parts and services. In addition, this marks the seventh consecutive quarter of sequential growth in net sales and operating income at the Flight Support Group. Our total debt to shareholders' equity was 11% as of April 30, 2022. And that compared to 10.3% as of October 31, 2021. Our net debt, which is total debt, less cash and cash equivalent of $148.6 million as of April 30, 2022, compared to shareholders' equity ratio was 6.1% as of April 30, 2022. And that compared to 5.6% as of October 31, 2021. Our net debt to EBITDA ratio was 0.28x and 0.26x as of April 30, 2022 and October 31, 2021. We have no significant debt majorities until fiscal 2025. And we plan to utilize our financial strength and flexibility to aggressively pursue high quality acquisitions of various sizes in order to accelerate growth and maximize shareholder return. I'd like to discuss our recent acquisition activity, which in March 2022, we acquired all of the stock of Flight Microwave Corporation, which is a designer and manufacturer of custom high power filters and filter assemblies used in space and defense applications. In March 2022, we successfully completed the previously announced agreement to acquire 74% of the membership interest of Pioneer Industries. And Pioneer is a specialty distributor of spares for military, aviation, Marine and ground platforms. The remaining 26% interest continues to be owned by certain members of Pioneer's management team. We expect both of these acquisitions to be accretive to earnings within the first 12 months following closing. At this time, I would like to introduce Eric Mendelson, Co-President of HEICO and President of HEICO’s Flight Support Group, and he will discuss the results of the Flight Support Group.
Eric Mendelson: Thank you. The Flight Support Group's net sales increased 33% to $306.3 million in the second quarter of fiscal 2022, up from $230.3 million in the second quarter of fiscal 2021. The Flight Support Group’s net sales increased 35% to $579 million in the first six months of fiscal 2022, up from $429.6 million in the first six months of fiscal 2021. The net sales increased in the second quarter in first six months of fiscal 2022, reflects strong organic growth of 23% and 26% respectively, as well as the impact from our profitable fiscal 2021 and 2022 acquisitions. The organic growth mainly reflects increased demand for the majority of our commercial aerospace products and services resulting from continued recovery in global commercial air travel as compared to the second quarter in first six months of fiscal 2021. The Flight Support Group’s operating income increased 87% to a record $66.2 million in the second quarter of fiscal 2022, up from $35.5 million in the second quarter of fiscal 2021. The Flight Support Group’s operating income increased 93% to a record $118.6 million in the first six months of fiscal 2022, up from $61.3 million in the first six months of fiscal 2021. The operating income increase in the second quarter and for six months of fiscal 2022 principally reflects an improved gross profit margin mainly from the previously mentioned higher net sales across all product lines and efficiencies realized from the higher net sales volume. By the way, just as an aside and not part of the scripted remarks, I have to say and congratulate the Fight Support team because frankly, two years after COVID began and created such problems for this industry. I personally am just in awe of these results and the performance of our team. I don’t think anybody expected that we would be back to record numbers within two years after the COVID crisis happened. So I just cannot stress enough how outstanding I think these results are. The Flight Support Group’s operating margin improved to 21.6% in the second quarter of fiscal 2022, up from 15.4% in the second quarter of fiscal 2021. The Flight Support Group’s operating margin improved to 20.5% in the first six months of fiscal 2022, up from 14.3% in the first six months of fiscal 2021. The operating margin increased in the second quarter and for six months of fiscal 2022 principally reflects the previously mentioned improved gross profit margin, as well as a decrease in SG&A expenses as a percentage of net sales, mainly reflecting the previously mentioned efficiencies. Now I would like to introduce Victor Mendelson, Co-President of HEICO and President of HEICO’s Electronic Technologies Group to discuss the results of the Electronic Technologies Group.
Victor Mendelson: Thank you, Eric. The Electronic Technologies Group’s net sales were $237.4 million in the second quarter of fiscal 2022 as compared to $243.1 million in the second quarter of fiscal 2021. The Electronic Technologies Group’s net sales were $459.7 million in the first six months of fiscal 2022 as compared to $466.6 million in the first six months of fiscal 2021. The net sales decreased in both periods is mainly attributable to decreased demand for our defense products, partially offset by increased demand for our space, medical, other electronics and telecommunications products, as well as the impact from our profitable fiscal 2021 and 2022 acquisitions. Like many other defense industry suppliers, our defense product sales declined during the first half of 2022. As to the usual question of whether lower defense sales change or the defense sales change rather was concentrated in a single product. I would say that our defense sales change trends were essentially consistent and we’re more or less proportionate in our various businesses and products, which isn’t surprising is that it seems in phase with the rest of the industry. As we’ve explained over the years, our defense product sales tend to be uneven, which doesn’t worry us given our excellent position supplying components on a wide assortment of programs and our healthy order flow and backlog, so we remain excited about both our long-term defense sales growth prospects and growth in the products and services we sell in other markets. Though, we all wish it weren’t the case, and we wish that piece would reign over our planet. We are convinced that increasing global tensions and risks means the need for our defense products and services will continue to rise over time. The Electronic Technologies Group’s operating income was $66 million in the second quarter of fiscal 2022, as compared to $71.3 million in the second quarter, fiscal 2021. The Electronic Technologies Group’s operating income was $121.6 million in the first six months of fiscal 2022 as compared to $131.4 million in the first six months of fiscal 2021. The operating income decrease in fiscal 2022 second quarter, and first six months principally reflects lower efficiency levels resulting from the previously mentioned defense sales decrease and a lower gross profit margin mainly from the previously mentioned, decrease in defense product net sales and increase new product research and development expenses as a percentage of net sales in order to support important and ongoing new product development activities.  The Electronic Technology Group’s operating margin was 27.8% in the second quarter of fiscal 2022 as compared to 29.3% in the second quarter of fiscal 2021. The Electronic Technology Group’s operating margin was 26.4% in the first six months of fiscal 2022 as compared to 28.2% in the first six months of fiscal 2021. The lower operating margin in the second quarter and first six months of fiscal 2022 principally reflects increased SG&A expenses as a percentage of net sales, mainly from the previously mentioned lower efficiency level, as well as the previously mentioned, lower gross profit margin.  I’ll turn the call back over to Larry Mendelson. 
Laurans Mendelson: Thank you, Victor. Consolidated net income per diluted share increased 22% to $0.62 in the second quarter of fiscal 2022 and that was up nicely from $0.51 in the second quarter of fiscal 2021. Consolidated net income per diluted share increased 21% to a $1.25 in the first six months of fiscal 2022 and that was also up nicely from a $1.03 in the first six months of fiscal 2021.  The increase in the second quarter and first six months of fiscal 2022 principally reflects the previously mentioned higher consolidated operating income. Depreciation and amortization expense, totaled $23.5 million in the second quarter of fiscal 2022, that was up from $22.9 million in the second quarter of fiscal 2021 and totaled $46.7 million in the first six months of fiscal 2022, again, up from $45.9 million in the first six months of fiscal 2021. Significant ongoing new product development efforts are continuing at both ETG and Flight Support and this is critical for the development of new products and technologies that will fuel our future growth. R&D expense increased to $18.8 million or 3.5% of net sales in the second quarter of fiscal 2022. And that was up from $18 million or 3.9% of net sales in the second quarter of fiscal 2021. R&D expense increased to $37.1 million or 3.6% of sales in the first six months of fiscal 2022 and again, up from $34.2 million or 3.9% of net sales in the first six months of fiscal 2021. SG&A expenses were $88.5 million in the second quarter of fiscal 2022 as compared to $83 million in the second quarter of fiscal 2021 and that was an increase of $5.5 million.  The increase in consolidated SG&A expense principally reflects a $3.4 million attributable to our fiscal 2021 and 2022 acquisitions and an increase of $3.1 million in selling expense to support the previously mentioned sales growth. And that was partially offset by a $1.1 million decrease in G&A expenses. Consolidated SG&A expenses were $179.8 million in the first six months of fiscal 2022 and that compared to $161.2 million in the first six months of fiscal 2021. Again, the increase in consolidate SG&A expense, principally reflects costs incurred to support the previously mentioned net sales growth, and that resulted in increases of $6.3 million and $6.1 million in general, administrative and selling expenses respectively, plus $6.3 million attributable to our 2021 and 2022 acquisitions. Interest expense decreased to $1 million in the second quarter of fiscal 2022 and that was down from $2.1 million in the second quarter of fiscal 2021. Interest expense decreased to $1.8 million in the first six months of fiscal 2022 and that was down from $4.5 million in the first six months of fiscal 2021. The decrease in both quarters was principally due to lower weighted average balance of borrowings outstanding under our revolving credit facility. And that reflects our strong cash flow from operations, which we use to pay down borrowings. Other income in both quarters in the first six months of 2022 and 2021 was not significant. HEICO’s effective tax rate was 23.7% in the second quarter of fiscal 2022. And that compared to 19.5% in the second quarter of fiscal 2022. HEICO’s effective tax rate was 15% in the first six months of fiscal 2022 and that compared to 12% in the second quarter of fiscal 2021. The increase in the effective tax rate in the second quarter and it’s first six months of fiscal 2022, principally reflects an unfavorable impact from tax-exempt unrealized losses in cash surrender values of life insurance policies related to the HEICO leadership compensation plan as compared to the tax-exempt unrealized gains recognized on such policies in the second quarter and first six months of fiscal 2021. The impact of these unrealized losses accounted for an increase of about 3% in our second quarter tax rate and reflect recent overall stock market declines. As we discussed in last quarter’s teleconference, HEICO recognized a discrete tax benefit from stock option exercises in both the first quarter of fiscal 2022 and 2021 of $17.8 million and $13.5 million, respectively, resulting from strong appreciation in HEICO stock price during the option lease holding period. Net income attributable to noncontrolling interest was $8.1 million in the second quarter of fiscal 2022, as compared to $5.8 million in the second quarter of fiscal 2021. Net income attributable to noncontrolling interest was $15.4 million in the first six months of fiscal 2022 and that compared to $11.5 million in the first six months of fiscal 2021. The increase in the second quarter and first six months of fiscal 2022 principally reflects improved operating results of certain subsidiaries of the flight support group in which noncontrolling interests are held. And that’s inclusive of fiscal 2021 and 2022 acquisitions. For the full fiscal 2022 year, we continue to estimate a combined effective tax rate and noncontrolling interest rate of 20 – between 25% and 27% of pre-tax income. Moving on to the balance sheet and cash flow, our financial position and forecasted cash flow remain extremely strong. Cash flow provided for operating – by operating activities was $96.8 million and $194.8 million in the second quarter and first six months of fiscal 2022, respectively, as compared to a $102.9 million and $210.1 million in the second quarter and first six months of fiscal 2021. During 2022, we invested approximately $87 million in working capital. And the change in working capital includes a $43 million increase to inventories, and that reflects a strategic decision to increase inventory purchases within our distribution businesses and to support an increase in our consolidated backlog. In addition, receivables increased $20 million resulting from our net sales growth. Accrued expenses and other current liabilities have decreased by $16 million principally due to timing. Our working capital ratio improved to 3.4 times as of April 30. And that was up from 3.2 at times as of October 31, 2021. Our DSOs, day sales outstanding was 45 days as of April 30, 2022. And that compared to 41 days as of April 30, 2021. We closely monitor all receivable collection efforts in order to limit credit risk exposure. No one customer accounted for more than 10% of consolidated net sales and our top five customers represented approximately 21% and 23% of consolidated net sales in the second quarter of fiscal 2022 and 2021, respectively. Our inventory turnover rate decreased to 150 days where the period ended April 30, 2022. And that was down from 153 days where the period ended April 30, 2021. Now for the outlook, we look ahead to the remainder of fiscal 2022, and we expect global commercial air travel to continue on a path to recovery. Despite the potential for additional pandemic variance, we remain cautiously optimistic that the ongoing worldwide rollout of pandemic vaccines, including boosters will continue to positively influence global commercial air travel and benefit the markets we serve, but it still remains very difficult to predict the pandemic's path and effect, including factors like new variants and vaccination rates, potential supply chain disruptions, and inflation, which can impact our key markets.  Therefore, we feel it would not be responsible to provide fiscal 2022 net sales and earnings guidance at this time. However, we believe that our ongoing conservative policies, strong balance sheet, high degree of liquidity enable us to continuously invest in new research and development and to take advantage of periodic strategic inventory, purchasing opportunities and execute on our successful acquisition program, which all of which collectively position HEICO for future market share gains. In closing, I would like to, again thank our incredible team members for their support and commitment to HEICO. They are the ones that make HEICO tick and grow. And we are very, very proud of our entire team. The remainder of fiscal 2022 and beyond looks very promising for HEICO and to me personally. And we thank you all for making HEICO, the great company that it is. That is the extent of our prepared remarks, and I would like to open the floor to questions.
Operator: Thank you. [Operator Instructions] Your first question is from the line of Noah Poponak from Goldman Sachs. Your line is open.
Unidentified Analyst: Hey, it's Gavin on for Noah. Good morning.
Laurans Mendelson: Good morning.
Carlos Macau: Good morning.
Unidentified Analyst: Eric, in FSG pricing historically, hasn't been a big lever for you, but it seems like the, the rest of the industry is stepping up there. Is your strategy to increase at the same rate as the rest of the industry? So your relative discount holds, or do you just kind of aim to pass through any higher costs? or how do you think about pricing?
Eric Mendelson: Yes, I think the way we, think about pricing is we want to maintain our margins. So our margin percentage at a minimum so, we've got to pass through our added costs, and we've got to add our margin on top of that. Having said that, our list prices often reflect what the – what our competitors are doing. However, when we've got long term committed customers, we've got contractual arrangements where we sell at a discount to that list price. And we don't take those increases, to the extent that we would necessarily raise our list prices. So it's, it really depends on the, the arrangement, but as you can see from our results, we believe that we've been able to successfully pass along our cost increases along with maintaining a reason, maintaining our profit margin while at the same time, keeping our customers happy. And I actually have to just add a little anecdote was at the MRO Conference in Dallas a couple of weeks ago. And actually we had a major airline that everybody would be very, very familiar with. I can't mention the name and they brought all of their senior leadership to frankly, thank HEICO. In all of my years, I've never had a meeting quite like this, where they brought their senior leadership to thank HEICO; One for coming up with our new product solutions and helping them with all sorts of stuff that others wouldn't. And number two, not taking advantage of them and not doing what other people are doing. And they called out a number of other manufacturers, and they said that HEICO really differentiated itself and was going to be rewarded with not only increased business on products that we currently offer, but increase business on a new stuff that they wanted us to develop for them. So I think as a result of treating our customers, right, this is going to work, we'll get our in summary, we'll get our costs covered, we'll maintain or grow our margins a little bit. And most importantly, we will keep our customers happy because there's a huge amount of opportunity for us.
Unidentified Analyst: Great. I appreciate all that detail, maybe just touching on the, the margin there and FSG, you're back to, pre-COVID 2Q 2019 revenue, but your margins, I think better than 100 basis points higher. I mean, is there anything abnormal in the quarter there, or is that, a level you can continue to improve from as you grow revenue above pre-COVID levels?
Eric Mendelson: Yes. I wouldn't say that there's anything abnormal in the quarter. I want to be careful though, not to predict. I mean, what these numbers, I think our record operating margin percentage for the Flight Support Group, which frankly, I am amazed that in this environment with all that we're aware of, that we're able to keep our customers happy and record margins. So we will continue to watch that very carefully. I want to be careful because obviously we're going to be replenishing inventories. We have to see what that is. We're adding back some positions, growing our engineering talent. So I want to be careful to predict these higher margins. But I feel good about where we're headed.
Unidentified Analyst: Great. Thank you.
Carlos Macau: This is Carlos. I would just add real quickly to that. Keep in mind; we've been thinking about the FSG, approaching this 20% OI level. The road or the path to getting there is going to be a little lumpy because as the businesses return to volume levels that we've seen in the past, different parts of the FSG grow at different rates. And so that's going to affect our margin during the quarter. So that's why, for the year, I would think about it along the 20% range and recognize that it's going to be lumpy up and down to get there.
Unidentified Analyst: Helpful. Thank you.
Operator: And your next question comes from the line of Gautam Khanna from Cowen. Your line is open.
Gautam Khanna: Hey, good morning guys.
Laurans Mendelson: Good Morning.
Gautam Khanna: Just to follow up on the last question. Can you – Carlos, maybe can you talk about the subsegment growth within FSG and maybe that was the source of the mixed benefit. Was it led by the PMA business relative to repair and specialized products? Anything there, that might explain? How quickly margins improved?
Carlos Macau: Yes, Gautam. I think the PMA business, the parts business, have all been very strong and consistently strong where we saw a little bit of a tailwind, which we expected and we talked about last quarter was the return of our Specialty Products Group. Their volumes have picked up as we thought they would. Their volumes tend to be tied, to the OEM market. And as you probably notice across the board, that's coming back a little bit. So that's helped us, but the, I'd say the rate, especially products increases a little higher than it had been historically, which did have a mix impact if you would, on the margin. That's about the only thing…
Gautam Khanna: Okay, was there any sort of inventory dynamic where, your prices reset faster than the costs reflected in your inventory? So there was a sort of out of phase, benefit from pricing that might end up normalizing, as you replenish inventory?
Carlos Macau: That's a good question. As Eric mentioned, we have, we do have a bit of a delay. It's not like this is instantaneous. Any of our price increases. It does come in phases over time. As we renegotiate contracts and discuss with our customers, the ongoing relationship that doesn't happen instantaneously. So I don't know that this quarter, we saw a huge impact from pricing. But nonetheless, I think, it will continue. And we will, as Eric said, we'll cover our cost increases. We'll do our best to cover our cost increases, but we're not raising prices as an effort to boost margins and things like that. We're trying to be very friendly to our customers. Again, it's a long term strategy, so.
Gautam Khanna: Yes. And one for Victor, maybe Victor, ETG, can you talk about the bookings, how those have trended, maybe even since the defense budget was formally enacted in March, have you seen a pickup in RFP activity or, anything you can speak to about the – of order flow? Yes.
Victor Mendelson: Yes, Gautam. It's a good question. Actually, our book-to-bill ratio and our orders are very strong and book-to-bill accelerated for us both in the first quarter of the year, the second quarter of the year, sort of entire first half versus last year, so that remains strong. Of course, like everybody else, we've got these miscellaneous supply chain challenges, which were greater and seem to be accelerating. They're not overwhelming us fortunately, but they are accelerating and that that probably contributes to the book-to-bill ratio even more than it usually does. But as far as we're looking at it book-to-bill is accelerating and strong.
Gautam Khanna: Thanks guys.
Victor Mendelson: You're welcome.
Carlos Macau: Thank you.
Operator: And your next question is from Larry Solow from CJS Securities. Your line is open.
Larry Solow: Great. Thank you. Good morning guys and congrats on a really nice quarter and a pretty tough environment, very commendable there. Maybe a question for Eric on the – an FSG there, obviously pretty remarkable numbers, as you mentioned almost back to pre-COVID levels. I guess you a little bit less, I guess if we take out the acquisitions, but really strong job. What about in terms of, it's got to be a, I know you won't get it specifics, but on the market share gain side, I feel like that must be the, the big deciding – this different factor between you and some of your competitors. Can you maybe just, go get a little more high-level color on that, on the market share gains and are they coming from any specific areas? Is it, I assume mostly existing customers because you guys are pretty much covered across the commercial aviation, but that where it's coming from and is it mostly older, legacy products or you sort of mixing it in with some newer stuff there?
Eric Mendelson: Yes. Larry, that's a great question. And I always get – I mean, I'm very involved with all the businesses, of course, but I always get prepared in the week before these conference calls to get sort of the latest information on what's going on in the ground – on the ground. And I can tell you that in all of our business areas in which Flight Support operates. We are, in my opinion, gaining market share. I have never seen – in my 32.5 years at HEICO, I have never seen this level of enthusiasm from our people. And it is absolutely across the board. It's in PMA parts, component repair, distribution, specialty manufacturing, defense sustainment. It is just completely across the board. And I think that it is as a result of us taking care of our people as times got tough, making sure that we maintained our inventory and actually grew our inventories to make sure that we could support our customers, the fact that we are not highly levered and we're able to make all decisions for the long haul of the fact that our leadership teams and our salespeople have been with the company for decades. I mean they know the HEICO mantra and they speak it as well as if not better than I do. So it is incredibly broad-based. It's in the aftermarket. It's in the OEM. It's in defense sustainment. It's all across our business. And honestly, it made me feel really, really good.
Larry Solow: That's very encouraging, especially I would assume in these market share gains you get them, they should be pretty long lasting, I guess, in most of these things, right?
Eric Mendelson: Yes. I believe that they are long lasting. We've always spoken about how the trend is up and that we need to continue – look, we're not going to have a large impact on any of our competitors. Our gains are very, very broad-based, and they're incremental. We're doing very well. But I see just tremendous strength and, frankly, everything – all areas in which we operate.
Larry Solow: Okay, great. And then just switching gears, a quick question for Victor. On the defense side, is some of the slowness perhaps I know you mentioned sort of supply chain issues, but could some of these issues maybe be – you guys are obviously just a component on often a component on making the end product. So if there are supply chain issues from other parts that are delayed, maybe you're not going to deliver your part? Does that – so maybe supply chain issues at competitors or just complementary products, is that also come into play with sort of the slower defense sales?
Victor Mendelson: Larry, I think, overall, that dynamic does have an effect on us, yes. And it does slow things down. I would say more pronounced is the situation where our customers are not getting products on order because they can't get it out of their factory or they don't have people, people working from home. And so in a number of instances or a few of our subsidiaries, I should say, had mentioned that to us as an issue and that has been actually happening for a while. And at some point, of course, that will even out and we should ship all that. And we get those orders that we're expecting and you hear the customers say things like it's coming, it's coming, it's coming, but we just can't take any more in the factory or in our plant or out of space, et cetera, et cetera. So expect the order a month or two or three or whatever later.
Larry Solow: Right, right. Okay, great. And if I could just slip one more in for Carlos, just on inflation. Obviously, you guys are having some supply chain issues and like the rest of the world, and you mentioned 40 plus million increase in inventories to help offset that a little bit. But just in terms of inflationary issues, it seems pretty well under control for you guys. I think you mentioned selling your expense at your existing organic was up less than $3 million and I think there was, you said, almost $2 million drop in G&A. So your SG&A was almost from legacy was basically flat, which is pretty remarkable. Any thoughts on that?
Carlos Macau: Yes. I think during – first of all, we're structurally very entrepreneurial. We have a lot of different subsidiaries and managers running those facilities that have their roots as a sole proprietor and entrepreneur. And so they know how to adjust because when they learn how to manage that business, it was their wallet, their checkbook, right. And I think those tenants have benefited HEICO throughout this process. There is no doubt that inflation is part of the equation and I think that our guys have done an exceptional job at managing that cost. And then also to what Eric mentioned earlier, we've done a pretty good job of working with our customers to cover the increased costs as best we can. So I think the whole equation at HEICO because of our structure allows us to make that happen.
Larry Solow: Right, great. Okay. Excellent. I appreciate all the color. Thanks guys.
Carlos Macau: Thanks, Larry.
Laurans Mendelson: Thank you.
Operator: Thank you. And your next question is from Peter Arment from Baird. Your line is open.
Peter Arment: Yes, good morning everyone, Larry, Victor, Eric, Carlos. Hi. Hey, Eric, I guess I wanted to ask a question on M&A. Just you guys recently did two deals in the quarter. Are you talking about leaning in a little bit more maybe in the commercial market, maybe what you're seeing in the pipeline? Is there more activity or your willingness to do deals kind of in this recovery period? Or do you need to see some more time pass before you kind of engage further?
Eric Mendelson: Yes. We're very active in the M&A area, incredibly busy, busier than we've ever been. We remain disciplined. We recognize that the market is where the market is, and we've got to be competitive. But yes, I think that there are plenty of opportunities and we're working them very, very aggressively.
Peter Arment: Okay. I appreciate that. And then just on the – Victor, you mentioned some supply chain – miscellaneous supply chain constraints. Maybe Eric and Victor, you could just both describe it, are you seeing any kind of material lead time stretch out or are you going to end up just ultimately like you've kind of indicated carrying a lot more inventory throughout the year?
Victor Mendelson: So, this is Victor. I'll give you a perspective for the ETG companies. Lead times from suppliers continue to increase. There are lead times that are out for some components as far as, believe it or not, over 100 weeks. That's the exception though fortunately not the rule. We have generally, of course, found workarounds around those. And as you know, our inventory approach has been such that we've really minimized the effect of that. But I would expect this to continue to be a challenge. I would expect it to continue to accelerate a little bit. I would say that I think on our last conference call, I estimated that we had sort of in the $10 million range that had slipped from one quarter into the next quarter and I would say that's probably 50%, 70% more in this quarter that we just finished than it was in the prior quarter. And so again, you're talking about a few percent of sales, not overwhelming, but certainly something actually our growth would have been considerably higher or somewhat higher had we not dealt with that. But we'll continue to let our companies address those and keep it down to sort of a low simmer as they would say, rather than a more fire.
Eric Mendelson: Yes. And Peter, with regard to the Flight Support side I think that we were smart. Our people were really intelligent to make sure that we had sufficient inventory coming into this. We're working very closely with our suppliers. Frankly, there's no shortage of orders for us. The challenge is going to be making sure that we get everything delivered on time. And I think there could be hiccups down the road. Our people tell me about problems and they ultimately figure out solutions to them. So I would say on high alert watching the inventory restocking issue, but I'm hopeful that we will figure out how to manage through it.
Peter Arment: I appreciate that. And then just one last one, Eric, on the new product kind of rollouts, I know you always just kind of talk in generalities, but it sounds like customers are approaching you and there is more opportunities coming up. Maybe if you could describe, is the pace of the new product introductions increasing from the past kind of historical, what you add to your catalog every year? Or are you seeing, I guess, more of an acceleration of adoption?
Eric Mendelson: It would be the latter, more of – a greater acceleration of adoption. I think we're very content with the pace of new product development. We've got a lot of unsold potential where people can save a lot more money, if they buy the rest of our product line. So I think our preference would be to get all that stuff sold first and then to increase the rate of new product development later. We are – we continually grow in adjacent, what I call adjacent white spaces. And so there's no change there, but we got to make sure that we get everything sold. And I think our current volume and rate of new product development is really very, very well optimized. We've got the chain balanced, if we increase new product development, then you got to increase procurement, manufacturing, inspection, sales, there's a lot of stuff that has to happen in order to support that. So I think we're really well balanced right now.
Peter Arment: Appreciate that. Thanks.
Victor Mendelson: Thank you.
Operator: And we have the next question from the line of Kristine Liwag from Morgan Stanley. Your line is open.
Jason Holcomb: Good morning, guys. This is Jason on for Kristine.
Eric Mendelson: Good morning.
Jason Holcomb: Eric and Victor, sort of as we look ahead, how should we think about potential recessionary impacts across both the ETG and FSG businesses?
Eric Mendelson: When you say recessionary impacts, you mean with the markets that turning down possibly in the future?
Jason Holcomb: Exactly. So I guess, driven by say GDP decline, just general recessionary impact.
Eric Mendelson: Yes. I think we've picked up market share and we in a downturn continue to pick up market share. So I'm not afraid of it, frankly, whatsoever. We don't at the moment, see that kind of impact, there's no question there's deflationary issues when it comes to consumer products. And that's because for the last two years, people have bought a lot of that stuff, especially with all the money that the government has pumped out there and given to consumers. However, if you look, the savings levels are still pretty elevated. And the one thing that everybody wants to do today, they don't care whether they have COVID, they risk of getting COVID, nobody cares. They're all traveling, everybody's been cooped up. And I think that trend is going to continue. So I don't see that same historic two times GDP impact on air travel occurring over the next couple of years. I think we've paid a huge price in the past few years. And I think air travel is going to be relatively strong, X obviously Russia, Ukraine, China, I mean that there are some places that are going to see an impact. But I think with – insofar as how it's going to impact HEICO, we are so well ingrained at our customers and they view us – I can't stress it enough that they no longer view us as this tiny little $30 million company that we were 30 years ago. I mean, they view us as a real powerhouse and power player in the industry. So I think we're going to be the go to company, frankly.
Victor Mendelson: And this is Victor, for ETG, the effect the recession would have, it's fairly muted typically for us because we have a high proportion coming from defense and space and medical combined, those markets, which tend not to suffer like the broader economy does in a recession. Now our general markets where we serve certain high end electronics that might feel an impact and commercial aviation, depending on what happens with travel. But at this point, by the way, we are not seeing that. And interestingly enough, our orders in our non-A&D markets, which I very often look at as a precursor to overall economic activity have remained strong and remain healthy. So at this point, it seems to be business as usual.
Jason Holcomb: Thank you, guys. And then maybe just one more for Victor. Victor, can you speak to some of the opportunities you're seeing in space and then sort of just maybe parse out the opportunities you're seeing in the near-term and then more on a longer time horizon?
Victor Mendelson: Yeas, so our space business, as you know, is really focused on what I would call the high end in space. We're not on micro SATs very much. We don't chase those markets. We try to pursue and we've been successful pursuing the very highly engineered high end, very often radiation tolerant or radiation hardened solution. So for bigger, if you will, more expensive satellites but not entirely and that's a part of it. So what we're not doing is we're not chasing after this kind of explosion in everything space and I think our opportunities will continue to be in the higher end, more highly engineered products. And that's really where we're looking to expand as opposed to just sort of picking up revenue at any old margin to us. Our view is if it's a healthy margin, then it means we're adding some important value to the customer. And if it's low margin, then we're probably – we'd be looking at something that's more commoditized or they feel they could get elsewhere.
Jason Holcomb: Understood. Thanks guys.
Victor Mendelson: You're welcome.
Operator: Our next question is from the line of Ken Herbert from RBC. Your line is open.
Ken Herbert: Yes. Hi, good morning.
Eric Mendelson: Good morning.
Victor Mendelson: Good morning, Ken.
Ken Herbert: Hey Eric, I just wanted to start with maybe a finer point on the previous question, is it fair to say then that you haven't seen any change in pace of bookings or backlogs within your repair business into the second half of the fiscal year, as a result of any airline concerns around booking trends or maybe any slowdown in the pace of growth and then thinking that through, is there any reason why we shouldn't continue to assume sequential growth for your business into the fiscal third and fourth quarters?
Eric Mendelson: Yes, I think I mean the booking trends are improving and so I expect continued growth in the third and fourth quarters. I think that we're grabbing market share. And I anticipate that we're going to continue to do very well in all of our businesses in the third and fourth quarters.
Ken Herbert: Okay. That's great. And if I could maybe Carlos, typically seasonally, you do very good from a cash standpoint into the back half of the year. I know you've been investing in working capital for a number of very good reasons. How should we think about the full year free cash flow? And is there any reason, again, you're not sort of in that 115%, 120% conversion as it relates to net income for the full year?
Carlos Macau: Well, I think for the full year, Ken, we should be around those historic benchmarks. You're correct, first six months of this year, we have invested quite a bit in working capital to get to support the business. And maybe we invest a little bit more as the year goes on. If the revenues continue on pace with what we think they'll do. But I do think our conversion will be strong this year.
Ken Herbert: Okay, excellent. I'll stop there and pass it back. Thank you.
Carlos Macau: Thanks Ken.
Operator: We have the line of Josh Sullivan from Benchmark. Your line is open. Josh Sullivan, your line is open.
Josh Sullivan: Sorry. That was on mute. Good morning.
Eric Mendelson: Good morning.
Josh Sullivan: Just on the acceleration of adoption of new products you mentioned, the market share gains, are you seeing new customer types either geographically or by airline business model, any entities, which historically were more hands off coming forward in this environment?
Eric Mendelson: Yes, we say, we deal with every airline – virtually every airline out there, they're all customers of ours, but the answer to that is yes, they are adopting a broader range of product much more so than they ever have in the past. So yes, I think while we are not adding – it's not so much as adding customer names, we are broadening significantly what they're buying from us.
Josh Sullivan: And then just one on the M&A front, in the past, you noted private equity was driving up target valuations, obviously interest rate environment, market environment have changed. Do you think you'll see less interest from private equity and more competition from strategics going forward?
Eric Mendelson: I certainly hope we're going to see less competition from private equity. As far as strategics, I think HEICO has a unique value proposition and for the seller who really wants a good home for the business, a good partner wants to take care of the team members, wants to treat the customers right. There is no better option than to partner with HEICO, period, bar none, we are by far the best option for that type of seller. And I think the trick is frankly finding that type of seller who isn’t greedy and who wants to do the right thing, because you can’t get blood from a stone. And frankly, shame on the seller who doesn’t care about his or her people, and doesn’t care about the customers and is just greedy and wants to take every penny they possibly can. And typically when private equity wins it’s because of that and that trade off. So I think that we are – we offer a very unique proposition also for leadership teams. The HEICO model is incredibly motivational. And when we find good people who know what they’re doing, we don’t come up with the – all of this horse crap buzzwords from the corporate office, like so many companies do. And we instead let them focus on their business. We get on the same page, we get into the weeds and the detail, we understand exactly how they’re operating and we’re here to support them. And it works extremely well. So I personally am very optimistic. Yeah. I mean, can corporate acquirers end up paying more money? Well, they’re also going to have to pay higher interest rates, and then they’ve got to deal with the intangible amortization as do we. So I hope that they are restrained in what they do. But I’m very optimistic. We’re very competitive. I mean, nobody sells to us at a ridiculously lower price than they sell it to somebody else. I mean, we’re obviously always competitive if we buy companies. And we’re really busy right now. So I’m very optimistic that the trend will continue.
Josh Sullivan: Okay. Well, thank you for that.
Laurans Mendelson: Thanks.
Eric Mendelson: Thanks, Josh.
Operator: We have Greg Konrad from Jefferies. Your line is open.
Greg Konrad: Good morning.
Laurans Mendelson: Good morning.
Greg Konrad: Maybe just Eric to start. I mean, I know we’ve touched on this a bunch, but just when you think about the recovery and kind of the data that we see around traffic regionally, or narrow body versus wide body. Relative to your business, I mean, any surprises in terms of some of those areas or platforms that are maybe recovering faster than the broader market.
Eric Mendelson: Yes. And Greg, as a matter of fact, I remember Sheila asking me, I don’t remember if it was on the last call or the call before that, did I think narrow body was going to recover in North America in 2022? And I don’t recall the exact words I used. But I said, I’d rather see the data and let it come out. And I didn’t want to get in front of something like that. But clearly, North America narrow body is doing extremely well. And frankly, I am shocked as to the pace of recovery at HEICO. And I think we are recovering – we have recovered quicker than the industry. And I’m – and there are a whole bunch of areas that haven’t seen so much recovery. So I’m very optimistic. But yes, I mean, the narrow body is the strength, North America is obviously the center of that strength. Europe is recovering, but it hasn’t fully recovered. Asia is still struggling. South America is in the process of recovering. It’s sort of more like Europe. But yes, North Americans are just itching to fly. So I think we’re doing very well in that market.
Greg Konrad: And then maybe one for Victor. In your opening remarks, you talked about the defense weakness kind of being in line with peers and the industry overall, I think is expected to tick up in the second half of the year, whether it’s supply chain being alleviated some of the – getting the budget in place or even some tick up from just supplementals tied to Ukraine. I mean any commentary kind of leaking the booking commentary that you had with maybe how you expect conversion in the second half of the year. And would you expect to defense overall to maybe improve in the second half of your fiscal year?
Victor Mendelson: Yes. Greg, I’m going to be very cautious on this because there have just been more surprises I think this year in the last 12 months than usual. One would generally be encouraged by healthy bookings. But we have six months, right, the back half of the year is six months. So I’m just not sure. And I’m not trying to be evasive, but I prefer to wait and see how it all falls out.
Greg Konrad: And then just a quick clean up question for Carlos. I mean, any update to the tax plus non-controlling interest rate for the year.
Carlos Macau: Hey, Greg, I’ll give you my cleanup comment. The tax and NCI rate should be between 25% to 27%. I expect as Larry mentioned in his comments, we had about a 3% headwind on our tax rate for market declines in tax exempt securities we hold in life insurances products. That’s a wild card. The market keeps going down that could adversely affect our rate. I’m expecting, let’s say anywhere from 18% to 19% in a tax rate and somewhere between 7% and 8% in NCI rate of pre-tax income, percentage of pre-tax income as of right now.
Greg Konrad: Thank you.
Carlos Macau: You’re welcome.
Operator: Your next question is from Peter Skibitski from Olympic Global. Your line is open.
Peter Skibitski: Hey, good morning, everyone. Hopefully you can hear me I’m traveling and I’m on my mobile.
Laurans Mendelson: We can hear you well.
Peter Skibitski: Great. Just I was wondering if you could drill down a little more into defense and ETG sales a bit. I’m just wondering as DoD kind of really goes full speed ahead on kind of next generation R&D efforts like, we touched on space, but also hypersonics. You’ve got new aircraft efforts like NGA that are getting a lot of money and even some of the procurement efforts like F-35 will be well funded for a while. I’m just wondering how you feel HEICO is positioned in these areas especially the R&D type spend areas. And do you kind of feel overall like you’re well aligned with where DoD is going? Thanks.
Eric Mendelson: It’s good question, Pete. The answer is definitely we feel very well aligned with where the DoD is going. And you’ve heard us talk about this over the years that we’ve tried to construct the business in such a way that we’re not just reliant on the operations tempo, and we’re trying to be in the higher technology areas that offer that future growth and the higher tech solutions and a lot of engineering. And so, as you saw, we’re spending money on the R&D side and product development side. So I would – I feel very good about that. The timing of course is always very difficult to anticipate. But we’re going to continue making those investments because over time the yield results.
Peter Skibitski: Okay, great. I appreciate it. Maybe just one last one for me, switch into FSG. I’m just wondering in the repair and overhaul group, it seems like there is labor tightness in the U.S., and it seems like that would be maybe one of your more blue collar focused areas. I’m just wondering, if any trouble, sourcing labor there, or if you’re seeing in an over average amount of wage pressure in that group. So just wanted to get any color you can provide there.
Laurans Mendelson: Yes. That’s a good question. And obviously repair and overhaul is more labor intensive typically than parts as a total percentage of sales. We do have job openings in that market but we’ve been able to figure out and how to get it done. I mean, we’ve treated our people extremely well. They’re very happy about the work environment, about the amount of autonomy that they’ve gotten in doing their jobs. They, I think feel very, very much appreciated. I’ve actually heard stories about some people who unfortunately were offered more money by competitors and they go over to the competitor for the additional money. And then we hear back from them very quickly saying, oh, I made a terrible mistake. That they, frankly, they don’t operate in the same way that HEICO does. And please, please, can I come back? So I think we’re in pretty good shape. We’re in pretty good shape. Yes. There are openings and we’re watching it, we’re watching it very, very carefully. And we take care of our people and we see that if there are areas where costs are going up, we're very proactive in making sure that our people remain whole and that we take care of them and that they're proud to be at HEICO. And frankly, they're the reason for our success. So we're in pretty good shape in that area.
Peter Skibitski: Great. Thanks for the color.
Laurans Mendelson: Thank you. Thanks, Pete.
Operator: Thank you. And we have this Pete Esterline from Truist Securities. Your line is open.
Pete Esterline: Hey, good morning. I am on for Michael Ciarmoli this morning. Thanks for taking our questions. First I just wanted to ask what are you seeing in terms of inventory levels at airline customers, has there been any significant restocking activity from customers so far this year? And are you anticipating that you might see any over the next couple of quarters?
Eric Mendelson: Yeah. So I've asked that question because, I anticipated it would come up. And the answer is our people don't really see restocking to-date. What they do see is return to service. So obviously there have been some aircraft that have been parked and those aircrafts have to get returned to service and they require parts. So we have seen that, but we haven't seen what we believe is their traditional “restocking”. So that's – and I've asked that question 10 different ways from many, many different people and that's what seems to be coming back. So I believe that's the case.
Pete Esterline: All right. Great, thanks. And then I also just wanted to ask on your specialty products business, how is that trending? Are you seeing sequential recovery there? And are you seeing any increased interest from customers on your Build to Spec offerings that might translate into increased market share going forward?
Eric Mendelson: We're doing really, really well in specialty products. And that's the area that we said would always be lagging because that's more of an OEM support business where we support OEMs. So I have to tell you a little anecdote. I was visiting one of our specialty products, businesses about two weeks ago, and our partner who owns a chunk of the business. And his leadership team thanked me because they said, you know, two years ago, we were really looking into the biz, where our customers were canceling borders, because they were not delivering aircraft, airlines didn't want new aircraft. Things were absolutely terrible. And they wanted to cut employment and I fleeted with them and said, look we operate a decentralized structure. You can do what, it's your business, you can run it the way you want, but I am begging you please do not do that, maintain the people, because we are going to need them in order to rebound. And I have to say this leadership team of this company is never afraid to call me out if they disagree with me on anything. And they were so thankful that they followed that advice, they said don't worry about the hit that we're going to take. It's okay. And we need to be there. We need – if we don't have this team, there's no way we're going to be able to service them. And they hung onto the people and now their business is surging. And without those people, we wouldn't have been able to do that. So I think we're – our strategy and the only way that we can do that of course is we're not loaded with debt. And we treat people right. Everything is the long game at HEICO, so that's why I think, frankly, the numbers are where they are and there's more to come on the upside there.
Pete Esterline: Great. Thanks a lot for the color.
Eric Mendelson: Thank you.
Operator: And we have your next question from Louis Raffetto from UBS. Your line is open.
Louis Raffetto: Thank you. Good morning guys.
Laurans Mendelson: Good morning, Louis.
Louis Raffetto: Carlos, I'm gonna go to you first with a couple of quick ones. The accrued contingent consideration just, was that a focused in ETG or FSG? I think there was a…
Carlos Macau: Sure. There's a little bit of a benefit from the discount rate in the quarter. That was split between both segments pretty evenly. The discount rate for volume is liabilities went up from 4% to 6% on average for us and so that 2% did have an incremental benefit to the company, which by the way, we haven't seen that in a while. So as the rates rise, those liabilities get discounted. And that's why you see that in the cash flow statement, $1.7 million or $1.8 million.
Louis Raffetto: That makes sense. Perfect. Thank you. And then a similarly there was a $9 million, $10 million outflow in the, I guess investing activities under other just was curious what that was?
Laurans Mendelson: Yeah. The majority of that was related to a deposit on a product line acquisition that we're almost complete with. And so for timely reasons, we made that deposit. We're still doing some investigative work, but it's a small product line we're looking to buy. That's why you see it come in and investing activities as an outflow.
Louis Raffetto: All right. Perfect. Thank you. And then Eric, I'm going to go back to you. So I guess I heard some of that margin, some of the goodness in the quarter was a bit on mix, maybe a little bit of mismatch on sort of pricing increases versus cost increases, but I know you said there's no one-time, so there's no reversals of any of those old bad debt expenses or inventory reserves or anything like that from a few, a couple of years ago?
Eric Mendelson: No, it is all clean and I'm glad you mentioned that. This is something which I am really proud about HEICO and I talk about this with our people all the time. If you look at our peers out there, most of our peers, if not, all of them took these big one-time charges, where they repositioned, they wrote off inventory, they did receivables, all sorts of stuff, HEICO never did that. And we've never done that in the history of operating this business. There are all sorts of people out there who make uneconomical decisions in order to goose short-term earn, HEICO does not do that. And if you look at our numbers it supports that, without taking these one-time charges. So to answer your question, no, it was not a reversal of inventory or receivables or something like that. And as far as pricing goes we've been, as I said, we've been very careful to make sure that we pass along our cost increases and we maintain our margins. So I don't think that there – I think it’d be incorrect to say that there's been a mismatch in terms of pricing and costs, because yes, there are some areas where we were able to realize higher sales prices due to costs going up. And we had inventory at a lower cost, but I can also tell you that there are plenty of other areas where due to contracts we were not able to realize higher sales prices when costs went up. So I wouldn't draw that conclusion that our margins were driven because of that. I mean, we're operating in a very lean environment. Our people are working exceptionally hard. I think our cost base coming out of COVID is lower than it was and so that's really the benefit that we're seeing flow through the margins.
Louis Raffetto: All right. That's great color. Appreciate it, Eric. And then Larry, I guess maybe one for you, and if it's Eric's point on uneconomical obviously it was a recent deal sort of for a brakes business, went out at 14 times. Is that something you guys had looked at just not worth 14 times?
Laurans Mendelson: Look, the answer is we really don't comment on things that we look at or I think that paying 14 times for anything I think is a pretty high price, but it's up to the buyer. If he makes it work god bless him, let him buy it. I mean, some people are paying 17 times. So we don't do that because we are much more conservative and we'll buy something that's accretive. And, you know, I mean, historically our style, we'll buy very good companies, but we're not going to reach up to the moon. The real question is in hindsight, what did these 14, 17 time acquisition deals do for the accretion of the buying company? That in my opinion that sort of gets lost in the weeds, that's yesterday's news. We can't live like that. Remember we're the, basically the larger shareholders and we can't wait 25 or 30 years to get a payback on our investment. So that's, that's not our model. But if somebody else wants to buy it, I mean, I think they're worth, they happen to be very good companies, but the question is, how much do you pay for it?
Eric Mendelson: And the other thing Louis, this is Eric that I would add is that, we're very busy with acquisitions. We obviously pay competitive prices, but we're very busy. And in general, I would say, people should know, if there's something for sale, we see most of everything, which is for sale. I mean, we’re the go-to buyer for a lot of companies, but we’ve got various priorities and we’ve got to do what really makes the most sense for HEICO. And I want to be careful if someone’s paying a higher price, they probably see a good path to realizing very good value, but we’ve got to focus in – focus on the acquisitions, which are most meaningful to HEICO. One other thing I have learned, I have been told by many experts in Wall Street and M&A that roughly 20% of acquisitions are successful, 80% of acquisitions really failed. But nobody puts out a press release to announce that we bought a pig in the poke and got stuck. So HEICO has made and that’s the way I’m not politically correct. I’m telling you what I really believe. And I know that the M&A world knows that roughly 80% of acquisitions don’t work. So I’m not going to buy into the greater fool theory because I want to see my salary double from $1 million to $2 million and so forth. My family’s money and our investors’ money is hard on the line. And I want to see you payback before I die and wait 50 years to get my money back. So that’s the way HEICO is structured. And the other thing is, if you look at the market acceptance of HEICO and the multiple that we sell at, it appears that a lot of investors appreciate what we do. And I’ve gotten letter today, we get incredible letters on the earnings. I don’t want to make them public, but many investors have sent us thank you notes by email this morning saying how they appreciate the way we run the company. And so again, we’re not going to pay 14 or 16. There’s one example where we would pay 14. And if we were absolutely convinced that they have a backlog or orders that would support the future being at nine or 10 or something like that, or whatever in that case, we might pay 14 on trailing. But in general, you’ve heard me say, I want to get the money back within hopefully seven to 10 years. And that’s how we get our strong cash flow. We’re not up to our neck into debt. And when tough times come around, we don’t get calls from banks and we don’t have to sell debt at 8%. So, I mean, that’s our strategy. And does that answer your question?
Louis Raffetto: Yes, we appreciate the honesty.
Laurans Mendelson: Do you agree with it or do you disagree with me?
Louis Raffetto: No. Larry, no one can disagree with what you’ve – what the family has built over the last 30 years there and how successful it’s been.
Laurans Mendelson: That’s the right answer.
Eric Mendelson: Thank you.
Laurans Mendelson: Thanks, Louis.
Operator: [Operator Instructions] We have your next question from Gautam Khanna from Cowen. Your line is open.
Gautam Khanna: Yes. Thanks for taking the follow-up. I was just curious if you’ve seen any change in the pace of FAA approvals for your PMA parts pipeline, has that changed at all over the last couple years?
Laurans Mendelson: No. It has not changed. Our pace of approvals continues. And we have a very good relationship. We built up a lot of confidence over the years and we’re doing great there. By the way, I’m going to add one other bit of color. People internally and other engineers who have come to look at HEICO and see how we run our PMA analysis have said to us that we really overkill with the development of parts that we go to extremes to make sure they’re correct and accurate, and probably cost us more money to do that. And I think that’s a very good and we believe that’s a very good investment. I think the FAA understands that too, that the extent to which we go to develop parts and the detail and the duplication and so forth. So we get it right. And that’s something that’s in our DNA. And I think the quality – remember HEICO in general, has to develop and sell quality parts. We can’t sell junk to go on spacecrafts and the electronics don’t work. We have to have parts that work and aircraft engines and everything else. So quality is absolutely number one. And we will overspend to get that quality. And that’s very, very important to us.
Gautam Khanna: That’s helpful. And then just, maybe Eric, could you remind us how much of FSG sales in a normal year are derived from the Chinese market? And I’m just curious if you saw any slowdown, given other lockdowns and what have you in the quarter related to that region?
Laurans Mendelson: Yes, we don’t disclose for competitive reasons and we are active in China. We do not have any manufacturing sites in China, but we are active in China. We sell into that market and I would say we’re doing just fine.
Gautam Khanna: And did you see any slowdown in the quarter related to the air traffic [ph] or were they continuing to buy?
Laurans Mendelson: I am reluctant to reply to that because I really need to study it by business units. Sometimes you can have, I wouldn’t want you to form the wrong opinion. Sometimes sales can be lumpy due to a big inventory purchase in one quarter or another. So I wouldn’t say in looking at the China market that you could really get a sense looking from one quarter to the other.
Gautam Khanna: Fair enough. And then just, maybe do you guys have a high level view on any sort of Ukraine-Russia exposure, i.e., sales that will be lost as a result of that?
Victor Mendelson: Yes. This is Victor. We did have some sales in Ukraine and Russia in the ETG. So that’s actually a headwind for us. I mean, it’s not overwhelming, it’s sort of in the neighborhood of maybe kind of 1% of sales headwind, I think probably on an ongoing basis is total potential, something like that.
Eric Mendelson: And I would say within the Flight Support, the group does, the numbers would be similar.
Gautam Khanna: Great. Thank you very much guys.
Laurans Mendelson: Thank you.
Operator: And there are no more questions. I will turn the call back to the speakers for further remarks. Please go ahead.
Laurans Mendelson: This is Larry Mendelson, again. It’s been a long call and a lot of excellent questions. I hope we’ve been able to satisfy you with the answers, if not where to reach us, give us a call at any time. We’ll try to be very responsive. I thank you for your interest in HEICO. And we look forward to speaking with you when we do our third quarter earnings call, which will be sometime in middle to late August. So with that, this is the end of the call and we wish you a very, very good day and hopefully a strong stock market to return.
Operator: Thank you. This concludes today’s call. Thank you all for participating. You may now disconnect.